Operator: Good afternoon and welcome as Amtech reports first quarter fiscal 2016 results. All participants will be in listen only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Brad Anderson, Chief Financial Officer. Please go ahead.
Brad Anderson: Good afternoon, and thank you for joining us for Amtech Systems fiscal year 2016 first quarter results conference call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the first quarter fiscal year 2016, ending December 31, 2015. That earnings release will be posted on the company's website at amtechsystems.com. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors, which could cause actual results to differ materially from those in the forward-looking statements or changes in the technologies used by our customers and competitors; change in volatility and demand for our products; the effective change in worldwide political and economic conditions, including government funded solar initiatives and trade sanctions; the effect of overall market conditions, including the equity and credit markets; and market acceptance risks. Other risk factors are detailed in our Securities and Exchange Commission filings including our Form 10-K and Forms 10-Q. So I'll now turn the call over to J.S. Whang, our Executive Chairman, to begin the discussion. J.S.?
Jong Whang: Thank you, Brad. Welcome to our discussion today. As always, we appreciate your interest in Amtech and joining our call today. Longer term opportunities for solar continue to be exciting even during this low oil and gas price environment. Global solar has improved momentum and we believe that momentum will continue. And although low oil price can have an impact on solar, we are confident that energy diversifications – a renewable option for a cleaner climate is a high priority for all. This is validated each day as we hear more about new solar projects around the world. Today I will focus on two important events of late that support global solar growth. In December, the 21st conference of the parties or COP 21 convened in Paris, France. The outcome of the conference was an agreement among many to commit to achieving net zero carbon emissions in this century and billions of dollars have already been committed. And specific to the US market, Congress recently extended the incentive tax credit, ITC, previously set to expire at the end of this year. The ITC has been a key driver to both residential, commercial and utility scale solar growth in the US. It has greatly increased private sector investment in solar, the advancement of solar technologies, and importantly, jobs for our US citizens. One additional outcome of this tax benefit has been the ongoing investment in next generation solar technologies. While I have highlighted those two major events, we are achieving a good positive progress in our marketplace as well as with our new products. We believe Amtech is well positioned to participate as a market leader. With that, I will turn the discussion to Fokko Pentinga, our CEO. Fokko?
Fokko Pentinga: Thank you, J.S. Let’s now talk about our first quarter fiscal year 2016. We are pleased with the $36 million of orders in the quarter, including $23 million for solar. In addition, it’s great that we started our March quarter with another $12 million of solar orders in the month of January. This is the result of the healthy quotation activity we have been telling you about the recent quarters. Although we see strong interest in quoting activity, the timing of when the interest in the quoting confers to firm orders is always difficult to predict. We believe the discussions with customers indicate tangible opportunities for fiscal year 2016. We are recognized for our leading technology solutions, continuous investment in next generation products and our long standing leadership position in the industry. Product development continues to be a priority for us and we are advancing our technologies to stay ahead of the goals and expectations of our global market and our customer plans for this year, next year and beyond. Planned improvements to our SoLayTec tools are on schedule and our high throughput PECVD tool advancements are also on schedule. In fact, we recently announced orders for this high throughput PECVD technology solution. We are also seeing interest in our SoLayTec atomic layer deposition system in combination with our Tempress PECVD system. We are in discussion with multiple prospective customers on some major technology turnkey projects for cell production lines. We have the broad technology portfolio needed to participate in these projects, including our anti-technology. And although these decisions take time, we are confident that we will see major moves forward in 2016. We are well prepared for the future and look forward to working with our customers to meet their goals. Now let me take a minute to talk about our semiconductor and polishing segments. While the semiconductor and electronics markets have been down we expect the second half of 2016 to be stronger than the first half in line with industry forecast. The March quarter is expected to be in line with the normal seasonality and therefore we currently expect [strengths][ph] to be weighted to the latter half of the year. For the long term we are confident of our acquisition of BTU and the strategy to further diversity our revenue and earnings prove to be beneficial to our overall performance and provide support for investments in our solar growth opportunities. Now Brad will go over our first quarter fiscal year financial results. Brad?
Brad Anderson: Thank you, Fokko. Our orders in the first quarter of fiscal 2016 were $35.6 million, a 90% increase sequentially. This increase was fueled by $23 million of solar orders in the quarter. At December 31, 2015, our order backlog was $42.9 million, including $31.3 million in solar orders. The effect of foreign exchange on our backlog was a reduction of approximately $750,000. As a reminder, our backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Net revenue for the first quarter of fiscal 2016 was $22.1 million compared to $28.2 million in the preceding quarter and $12.4 million in the first quarter of fiscal 2015. The sequential decrease is due primarily to lower volume in our solar segment. The increase from the first quarter, a year ago was due primarily to the inclusion of BTU revenues. Gross margin in the first quarter of fiscal 2016 was 27% compared to 23% in the previous quarter and 28% in the first quarter a year ago. The higher margin sequentially resulted primarily from an improvement in our semiconductor product mix. Gross margins compared to the same quarter a year ago were relatively flat. Our selling, general and administrative or SG&A expenses in the first quarter of fiscal 2016 were $7.6 million compared to $9.1 million in the preceding quarter and $6.4 million in the first quarter of fiscal 2015. Sequentially, the decrease results primarily from lower shipping and commission expense on lower sales volume. Compared to the same period a year ago, the increase results primarily from inclusion of BTUs, SG&A expenses since January 30, 2015, partially offset by lower legal and consulting expenses related to the BTU acquisition. Our research, development and engineering or RD&E expense was $2.3 million in the first quarter of fiscal 2016 compared to $3 million in the preceding quarter and $1.8 million in the first quarter of fiscal 2015. The sequential decrease in RD&E expense was primarily due to the deconsolidation of our Kingstone subsidiary, slightly offset by a decrease in R&D grants earned. Compared to the same quarter a year ago, RD&E expense increased due primarily to the inclusion of BTU and SoLayTec while being partially offset by the effect of the deconsolidation of Kingstone. Depreciation and amortization in the first quarter of fiscal 2016 was $783,000 compared to $869,000 in the preceding quarter and $705,000 in the first quarter a year ago. Included in the first quarter of fiscal 2016 results is $342,000 of stock option expense compared to $299,000 in the preceding quarter and $232,000 in the first quarter a year ago. Income tax in the first quarter of fiscal 2016 was $300,000 million compared to $1.3 million in the preceding quarter. The sequential decrease is due primarily to taxes on the Kingstone gain recognized in the fourth quarter of fiscal 2015. We had income tax expense in the first quarter a year ago of approximately $180,000. Net loss for the first quarter of fiscal 2016 was $4 million or $0.31 per share compared to a net income of $1.3 million or $0.10 per share in the preceding quarter and a net loss for the first quarter a year ago of $5.2 million or $0.53 per share. Total revenue by geographic region for the fiscal first quarter was the Americas region at 31%, Asia-Pacific at 54% and Europe at 15%. We had unrestricted cash and cash equivalents of $22.6 million at December 31 2015 compared to $25.9 million at September 30. The decrease in cash is primarily due to cash used in operations and to fund working capital, partially offset by proceeds received in the first quarter of fiscal 2016 for the partial sale of Kingstone. Let me turn to our outlook. We expect revenues for the quarter ending March 31, 2016, to be in the range of $20 million to $22 million. Gross margin for the quarter ending March 31 2016 is expected to be in the high teens percent range, due to expected lower shipment volumes resulting in a negative operating margin. As a result of recent orders received in December and January and anticipated future order activity, we do expect quarterly revenue run rate to be significantly higher in the second half of fiscal 2016 compared to the first half of fiscal 2016. Again operating results could be impacted by the timing of system shipments and that impact of revenue deferral on those shipments and recognition of revenue based on customer acceptances all of which can have a significant effect on operating results. Operating results could also be significantly impacted by the timing of recognition of government grant revenue related to research and development projects. A substantial portion of our revenues are denominated in euros. The revenue outlook provided today is based on an assumed exchange rate between the United States dollar and the euro. A significant decrease in the value of the euro in relation to the United States dollar could cause actual revenues to be lower than anticipated. This concludes the prepared remarks portion of our conference call. Operator, would you please open the call to questions.
Operator: [Operator Instructions] Our first question is from Sven Eenmaa at Stifel.
Sven Eenmaa : Thanks for taking my questions and congratulations on a very strong booking activity here within short few months here of actually generating orders equivalent of 70% of your solar revenues last year. So congratulations on that. First, I wanted to ask about the geographic mix and the drivers behind the order activity. How much of that was really driven by ITC expansion and which allowed it to convert some of the quoting activity into actual orders and how much of that was driven by the growth you have highlighted before in markets like India and Middle East?
Brad Anderson: I think, Sven, on the geographic, these orders still are coming from predominantly, say, Chinese based, say, Taiwan based companies, some within Taiwan, a little bit within China, but a lot of that outside of China, say, Indonesia and other locations. And some of that – while we can’t necessarily see that as directly related, I think there is an indirect correlation with the extension of the ITC, especially for these China-based companies building cell and module facilities outside of China to come into the US.
Sven Eenmaa : And the second question, regarding the order activity also has to do with the profitability and margin profile of that additional bookings you are seeing. What is your view on that? Is that comparable to the margins we saw in solar business in last year or how should we think about the profitability of those orders?
Brad Anderson: Overall, I’d say it’s pretty consistent. But of course as you generate more volumes, you start getting some efficiencies which we expect to see in the latter half of our fiscal 2016.
Sven Eenmaa : And the last question from me is, in terms of your semi business, it sounds like you are in essence guiding, cyclically the lowest quarter being the March quarter, what is the margin expectation – gross margin expectation for that business in that quarter?
Brad Anderson: With BTU, we improved our margin profile, especially in the gross margin. So while it’s low then so there will be some factory under-utilization, I think it would still be pretty consistent with overall what we have been experiencing in the last couple of quarters.
Operator: The next question is from Mark Miller of Benchmark.
Mark Miller : Well, that’s encouraging order trend. I am just wondering, cash dropped last quarter and as new orders come up, what do you think your cash is going to look like as you go throughout the year?
Brad Anderson: There will be some utilization of cash as we build up inventory but then we will be able to convert that. So I think we still have a healthy cash balance to support what we see in backlog but also what we see going forward to.
Mark Miller : How is BTU running in terms of cash consumption or generation, is it neutral or slightly consuming cash?
Brad Anderson: With the current semiconductor – well, I guess, it’s been down, kind of maybe we’re at the bottom of the U, or whatever they might refer to it the U turn. They have been running at more of a neutral position, with the expectation that as we pick up in the latter half that they will turn positive.
Mark Miller : Where do you think the ramp is going to begin? Is China going to be first to ramp in terms of capacity additions and who is it going to be followed by, Japan or anybody else? I am just wondering about the timing and which geographies are going to go off first?
Brad Anderson: Are you talking still on semi?
Mark Miller : No, I am sorry, of solar.
Fokko Pentinga: Well, most of the capacity expansion will be China based, in China or Chinese companies outside of China. So that’s where the majority of the expansion will be. Of course, I don’t see Japan expanding a lot. Most companies there have also reported recently that it’s still difficult in Japan. Taiwan, maybe do some and of course, we heard about Korea that will do quite a bit. So it’s mostly in that area but it’s still predominantly China – China based companies.
Operator: [Operator Instructions] At this time we show no questions. This concludes our question and answer session. I would like to turn the conference back over to Brad Anderson for closing remarks.
Brad Anderson: Thank you. Thank you, Amy. Thank you all for your time today, and for your continued interest in Amtech. This concludes today's call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.